Operator: Good day ladies and gentlemen, and welcome to the Ashland Global Holdings Inc. First Quarter Earnings Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's call Mr. Seth Mrozek, Director of Investor Relations. Mr. Mrozek, you may begin.
Seth Mrozek: Thank you, Sherry. Good morning everyone, and welcome to Ashland's first quarter fiscal 2019 earnings conference call and webcast. My name is Seth Mrozek, Director, Ashland Investor Relations. Joining me on the call today are Bill Wulfsohn, Ashland's Chairman and Chief Executive Officer; and Kevin Willis, Senior Vice President and Chief Financial Officer. We released preliminary results for the quarter ended December 31, 2018, shortly after 5:00 P.M. Eastern Time yesterday, February 5. Additionally we posted slides to our website ashland.com under the Investor Relations section, and have furnished each of these documents to the SEC in a Form 8-K. As a reminder, during today's call we will be making forward-looking statements on a number of matters, including our financial guidance for fiscal 2019. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from today's projections.  We believe any such statements are based on reasonable assumptions but cannot assure that such expectations will be achieved. Please refer to yesterday's slide presentation for a fuller explanation of those risks and uncertainties and the limits applicable to forward-looking statements. Please also note that we will be referring to certain actual and projected financial metrics on Ashland on an adjusted basis, which are non-GAAP financial measures. We will refer to these measures as adjusted and present them in order to supplement your understanding and assessment of the financial performance of the ongoing business.  Non-GAAP measures should not be considered a substitute or superior to financial measures calculated in accordance with GAAP. The most directly comparable GAAP measures as well as reconciliations of the non-GAAP measures to those GAAP measures are available on our website and in the appendix of yesterday's slide presentation.  With that, I will turn the call over to Bill. 
William Wulfsohn: Thank you, Seth and good morning, everyone. Thank you for calling into Ashland’s first quarter fiscal year 2019 earnings call. In May 2017 we shared our strategic vision to become the premier specialty chemical company. That plan had three core financial performance targets, driven by seven core operating levers. This is the seventh quarter since we presented our Investor Day in 2017. In each of those quarters Specialty Ingredients has reported organic year-over-year adjusted EBITDA growth, excluding any benefit of currency and acquisitions. In addition, we have improved Specialty Ingredients adjusted EBITDA margin year-over-year in each of the last four quarters. In fiscal year 2019 Q1, we continued those trends. In the quarter like other companies, we saw some choppy market conditions and experienced unfavorable foreign currency translation. Still we delivered solid gains relative to each of our three core financial deliverables. More specifically, we achieved significant adjusted EPS growth. We improved adjusted EBITDA margins by 140 basis points. We improved our Q1 cash flow over the prior year consistent with our outlook for the full year. And we did so, by focusing on the areas we could control to drive results. Now beginning with Specialty Ingredients, organically we grew sales by 3% excluding the impact of FX and the Colgate product reformulation, that we outlined on our fourth quarter earnings call. To do so, we continue to drive double digit growth in Pharma. We demonstrated strong growth in our innovative biofunctional ingredients for hair and skin care applications. We grew the Pharmachem business as we implemented our new market strategy for the business. And we demonstrated discipline pricing plus share gains for our adhesive products. The Specialty Ingredients team also improved gross profit margins year-over-year by 20 basis points in spite of a stronger dollar. To do so, we capitalized on gains we have made in implementing our asset utilization program by substantially increasing plant absorption. We also succeeded in driving price over raw material cost inflation.  Now as you will recall, we have made steady progress towards pricing through rapid and dramatic raw material price increases, which we experienced over the last year. We have implemented disciplined pricing practices, new pricing governance, new sales incentive practices along with comprehensive account planning and value selling training.  The result is that we drove price above raw material inflation in the quarter in the context of continuing and lingering year-over-year raw material inflation. And we expect the impact of our pricing actions combined with the impact of falling oil prices, which we believe will begin to benefit us in Q2 to strongly drive year-over-year gains in this important area for the remainder of the fiscal year. To augment these actions, the team is achieving strong results from our cost reduction program. As you will recall, this is the effort we kicked off last year and from a Specialty Ingredients perspective this program had two core objectives. The first was to enable the Specialty Ingredients organization to become leaner, more nimble and competitive, while increasing our ability to accelerate growth in our core markets. The ASI target also included reducing fixed costs by approximately 200 basis points to accelerate our achievement of our targeted 25% to 27% adjusted EBITDA margin target. In the quarter, Specialty Ingredients realized 150 basis points deduction in SG&A as a percent of sales. To be clear, the cost reduction program is delivering and will be completed on time in full. Putting this all together in the quarter, we increased revenue, improved gross profit margins, reduced SG&A, which resulted in a 7% improvement in adjusted ASI EBITDA, and that represents 120 basis point improvement in EBITDA margins. Now if you assume constant currency, adjusted EBITDA growth would have been 9% for ASI in the quarter.  For all of Ashland, adjusted EBITDA increased 8% to $100 million. SG&A for the company was down $9 million compared to the prior year, and adjusted EBITDA margins were also up 140 basis points year-over-year. And leveraging these earnings gain, in combination with disciplined capital expenditures programs, we improved cash flow performance year-over-year. So in summary, the Ashland team delivered on its commitments in quarter one of fiscal year 2019. And these gains have given us confidence to reaffirm adjusted EBITDA, adjusted EPS and free cash flow target outlooks for fiscal year 2019. As we head into Q2, we expect FX and demand in certain industrial markets to remain soft, but rather than focused on this, we are focused on executing on the leverage we can control. More specifically, within Specialty Ingredients, we expect aggregate top-line gains to be rather limited in the quarter due to negative FX and continued softness in several of our industrial markets. But that said to ensure we deliver on our targeted EBITDA dollar and margin growth objectives, we are committed to drive positive gross profit margin and dollar growth by continuing to drive substantial mix improvement through innovation and new product introductions.  We also intend to reduce manufacturing cost, resulting from our asset utilization program, and we also expect to benefit from continued price discipline in the context of a more favorable raw material pricing environment. Augmenting Specialty Ingredients gains, we expect Lima to return to year-over-year earnings growth in the quarter, with our planned Q1 shut down behind us. And of course, we expect lower SG&A as we drive cost reductions across the entire organization. In Q1, we achieved our targeted $15 million run rate, we expect that run rate to increase to nearly $70 million by the end of Q2. So combined as a company, Ashland remains on track for the guidance we provided at the end of December. As part of this, we are forecasting adjusted EPS in the range of $0.80 to $0.90 in Q2. In addition, it is important to note that we continue to make strong progress to stay on track for the planned sale of the Composites business and the Marl BDL facility. So in summary, we remained focused and confident on our ability to deliver our financial targets, the $120 million of cost reduction and the planned sale of the Composites business and the Marl BDO facility.  And with that, I'll turn the call over to Kevin. Thank you.
Kevin Willis: Thank you, Bill and good morning, everyone. First, let's start with Ashland's results in the first quarter. Sales in the quarter were $576 million, down 1% from the year ago period and inclusive of negative 2 points from unfavorable currency. Adjusted EBITDA in the quarter was $100 million, up 8% year-over-year. In the quarter, we reported a U.S. GAAP loss from continuing operations of $1.40 per diluted share. However, on an adjusted basis, we reported income from continuing operations of $0.14 per diluted share compared to $0.03 in the prior year. This compares to our outlook that we provided at the end of December of $0.05 to $0.15 per share. Remember that results from continuing operations includes the results of our Specialty Ingredients segment, plus our BDO facility in Lima, Ohio as Composites and Marl are now being reported as discontinued operations. Free cash flow during the quarter was negative $42 million compared to negative $52 million in the prior year. These amounts include $19 million in restructuring costs in the first quarter of fiscal 2019 and $23 million of restructuring in the year ago period. Our effective tax rate for the first quarter after adjusting for key items was 29% compared to 41% in the prior year period. This rate was higher than our original forecast due primarily to some one-time discrete items. Now for an update on the divestiture of Composites and the Marl BDO facility. As we announced in November, we signed a definitive agreement with INEOS Enterprises to sell the business for $1.1 billion. We are working with INEOS Enterprises to close the transaction by June 30th. We continue to expect to use the net proceeds roughly $1 billion for debt reduction following the close of the transaction, which will get us to our targeted leverage ratio of approximately 2.5 turns gross debt-to-EBITDA. Last night, we reaffirmed our outlook for the full fiscal year except for an expected change to the full year effective tax rate. As we’ve gained more clarity around the full implementation of tax reform, we do expect a slightly higher rate this year and going forward. Consistent with fiscal 2018 we plan to update these outlook ranges throughout the year. As we move closer to the planned divestiture of Composites and the Marl facility we continue to evaluate presentation of the business and its results to our investors and other constituencies. Our objective is to provide as much clarity and transparency as possible as we complete our transformation to a pure play specialty chemicals company. We continue to evaluate the options and expect to make a decision in the near-term. With that, we’ll open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from David Begleiter with Deutsche Bank. 
David Begleiter : Hey, good morning. Bill, just a quick question on EPS, you did raise your tax rate guidance, but you didn’t change your EPS guidance, how did that work out?
William Wulfsohn: David, at this point we’re confident with our full year EPS range and we do think that there’s going to be modest increase in the overall tax rate it’s pretty low to begin with, in this increase. We’ll still keep this in the range we feel like. So we’re very comfortable with the range as it is. And I would just add that again in the spirit of within reason there we expect that we’ll continue to work operational levers within the business in the corporate cost structure to follow through on our commitments regardless of the fact that there is I will say a little bit of an increase in the tax rate.
David Begleiter : Got it. And just on ASI, Bill and Kevin, can you break out the 3% organic growth between volume and mix and price? And how would you expect that to trend as you get passed through Q2 into the back half of the year?
Kevin Willis: So from a volume standpoint and we reported on this there was not significant growth or there really wasn’t growth from a revenue standpoint excluding FX we saw a growth in our business. And we expect that as we move into Q2, we’ll have a bigger dynamic related to FX that will get better from a comparative standpoint assuming that exchange rate stay the same going forward into Q3 and Q4. And so, again, we started with potentially a 2% to 3% organic growth rate for the ASI business at the start of this year and that is our expectation as we move forward. And as I would also focus part of what we’re trying to do in that is enhance the mix of products that we’re selling so as to improve our gross profit and obviously drive higher level of earnings as well as EBITDA growth rate. So I think our outlook other than we’ll say FX is very consistent with what we put forward at the very beginning of the year.
William Wulfsohn: And clearly Pharma was a big driver in the quarter obviously helps mix that is our highest margin business from an end market perspective. We called out Adhesives as being -- as also being really strong performer in the quarter and they were. Those two businesses were big contributors. And I think it’s also worth noting that within Personal Care aside from the oral care situation we’ve already talked about, we saw some really nice gains, particularly in skin. So those all serve to really help us put together pretty good quarter.
David Begleiter : Thank you very much.
Operator: Thank you. Our next question comes from Christopher Parkinson with Credit Suisse.
Unidentified Analyst: Hi. Good morning. This is Karen on for Chris.
William Wulfsohn: Good morning.
Unidentified Analyst: Personal Care saw a mix with the impact of FX and the loss of the Colgate business, but some of your customers have also reported pretty strong quarters and outlooks. As we think about normalized growth in Personal Care, can you discuss like how you think about that for the rest of the year? And then, any initiatives you have taken to replace the Colgate-Gantrez business loss? Thank you.
William Wulfsohn: Certainly. And as Kevin mentioned, we did have strong performance in Q1, I’ll say in skin care. We also had growth in other parts of our consumer business and Personal Care business. And we are targeting essentially a 4% growth rate just as we had last year across the business. We’ve highlighted the negative impact of the Colgate loss or their reformulation really and that would go against that 4% in this year. At the same time, I would say that we’re really driving that richer mix, so focusing on improving the profitability of the business. And so, we’re targeting that 4% growth overall excluding the Colgate and really targeting a much richer mix as we move forward. And that’s really driven by technology and new introductions, a lot of our biofunctional ingredients.
Kevin Willis: Yes. And that 4% top-line gain is really accompanied by a much stronger profitability gain because of those mix shifts, especially in areas like biofunctionals and other skin care applications.
Unidentified Analyst: Great. And then, I guess, just touching quickly again on Pharma, you had another strong quarter, a lot of that also was helped by late capacity expansions, which seem to have annualized at this point. How should we think about normalized growth in the Pharma business going forward? And then, what key levers could you pull to accelerate growth as we go throughout the rest of the year? Thank you.
William Wulfsohn: We certainly have had a strong run as it relates to our Pharma business. There was a great amount of pent-up demand for the product and we’ve seen the benefit of that in each one of the quarters as we have the capacity. What I would say though is we’ve also seen that our customers are -- now that the product is more readily available is interested in expanding the number of applications we have been introducing new Benecel and new Klucel grades. So between technology and our overall position in the market, we are focused on seeing if you will gains that are at least 5% without foreign exchange and that would be for the remainder of the year and really as we continue to move forward.
Kevin Willis: If you look at the Pharma business historically, 4% to 6% is what you typically see over the long run for that business 4% to 6% year-over-year growth. And we fully expect that to be the case as we move forward. So that was certainly our expectation for the rest of this year.
Unidentified Analyst: Great, thank you very much.
Operator: Thank you. Our next question comes from Jim Sheehan with SunTrust.
Jim Sheehan: Good morning. Can you talk about the tailwind you expect to get from raw materials; you mentioned that you’re starting to see raws ease a bit and this could help your margins. How would you quantify the benefit to gross margins in ASI going forward?
William Wulfsohn: Right. Great question. And it is important to note that actually in our Q1 of this fiscal year, if you look at the price of oil and we’ll say that’s one of the primary drivers of our raw material cost that actually the price in Q1 was above Q1 last year. And so, when we talk about delivering price over raw material inflation, we’re doing so in the context of that sustained raw material cost inflation. Now that being said, we know that the current price for oil is substantially below where it was in Q2 last year and below where it was on an average basis in Q1 for us. Now it takes roughly a quarter for that to roll through into our cost of goods sold because it rolls through our inventory. And so with that we would expect as we get into the second half of the year to see strong benefit from that, assuming oil prices remain the same. And that's good because last year as you know, we worked hard to catch up with raw material inflation. Now we need to make that a lever that's more positive in terms of contributing to our year-over-year growth.  And just round terms you could estimate roughly $1 million a year for $1 lower price in oil. But again, I would caution you to understand that we actually saw an increase in Q1 over last year and it takes a little while for it to roll through. So you may think of that more in terms of kind of a half year benefit as opposed to a full year benefit.
Kevin Willis: Yes. And you need to do that based on the weighted average of crude during the quarter as well. Maybe that goes without saying that it's not a point in time kind of thing. It's really focused on average costs in the quarter year-over-year in terms of doing that calculation.
Jim Sheehan: Very helpful. And also, could you comment on the -- where you see the health of primary demand versus any signs of destocking in some of your end markets? It seems like certainly in this last quarter, your performance exceeded that appears that, maybe we're suffering more headwinds then you did, maybe you can discuss, why you think that might be the case?
William Wulfsohn: I think the team has done an outstanding job of going out there and selling the value and selling the technology, innovating and ultimately we believe gaining share as a result of that. It's hard to estimate and I really don't want to move to the destocking word because I believe that we see a demand which is consistent with our customers' consumption. Yes, we can have some short-term effects maybe they become more conservative with their inventory or opposite build some over time.  We look at that as something that happens and we can't control that. So we're certainly going to focus on the things that we can control. And that is related to share shift, innovation, pricing, managing our manufacturing facilities and costs and lowering our SG&A. So, I think that's a broader answer, maybe then you're looking for specifically on the subject of destocking. But I wouldn't point to that as a word that is guiding our results or guiding our thinking. And I think a really good example of the team doing a really nice job is on our coatings business. I mean coatings was relatively flat year-over-year, but if you look at some of our large coatings customers who have reported results.  Clearly some of them have had struggled a bit and in spite of that the team was able to really make up a lot of what I think could have been a difficult quarter for coatings by just getting out there and really moving the product and selling the value and I mean, they should be applauded for that.
Kevin Willis: Yes. And just to add to that, if you were to look at our coatings by region. You'd see that our coatings in North America, there's not much different than the numbers that you heard we reported. Still what we did was we focused in this particular quarter. In this case, we had double-digit growth in rest of Asia, in our coatings business. And that helped us to offsets the dynamic in North America. So I’m not trying to grow into the very specifics of each region, but as we run the business, we focus if it's not strong here, we're going to focus on that. And if the top-line isn't going to be as strong, then we're going to do other things that are below the line -- below the revenue line.
Jim Sheehan: Thank you very much.
Operator: Thank you. Our next question comes from Jeff Zekauskas with JP Morgan.
Jeff Zekauskas: Thanks. 
William Wulfsohn: Good morning, Jeff.
Jeff Zekauskas: Hi. Good morning. I imagine you’ve benchmark ASI versus your very strong competitors. When you look at the really efficient companies, what's their SG&A ratio were, is there an SG&A that you target in Specialty Ingredients when you get to a full level of efficiency?
William Wulfsohn: Sure, so we do extensive benchmarking and we discuss that with our board of course. And as you realize it, it can be a little bit challenging because companies don't match up exactly. However we do have a strong perspective on it. What I would say is that we are very focused on executing $120 million cost reduction effort. Right now we have to get that done before the end of calendar 2019 and that's our focus and we believe that that will get us to the 25% type range for ASI, which is the lower part of the range that we’ve put out there from a target standpoint.  And we said, we would like to be 25% to 27%. So to move up that curve obviously to achieve the additional 2 points there's really three ways you can do that, you can do that through growth and volume leverage, you can do that through mix and technology and you can do that from fixed cost reduction. And I believe that we will see a continued focus on all three of those. And so, I think you will see between the volume leverage and continued programs, which really have been identified and are being implemented as part of what we're doing today, but that won't hit before 2019 to help us lower our SG&A as a percent of sales. So I hope that gives you a sense without throwing out a very specific number on it.
Kevin Willis: And Jeff just to maybe get a little more specific on the number itself. As you're aware most of our investors are aware, we've got about 3.5 points of SG&A related to deal amortization that's running through the numbers. And if you set that to the side by the time we're done with this current program the business should be running at about 16% of sales maybe a little better than that. A lot of that depends on what kind of growth you bake into the top-line. But that's more or less where we'll be once this program is fully baked in. I think if you -- again comparisons can be tough and beauty is often in the eye of the beholder. But we feel like that that puts us in a pretty good spot relative to a number of the peers. But as Bill said, the objective is not to be static, the objective is to continue to improve and to do so by really executing on all three of those levers that Bill indicated. I think we have to execute on all three on a continuing basis. Status quo is never going to be good enough. 
Jeff Zekauskas: Okay, thank you for that. And what was the $30 million in unrealized securities losses?
Kevin Willis: Yes, I'll take you through that. So as you may recall, we entered into a settlement arrangement with a couple of our large insurers related to our asbestos liability. And we took the majority of the proceeds from that settlement and invested those in what we refer to as an asbestos trust to basically help offset the costs of our ongoing asbestos liability. And those proceeds are invested much like a pension trust and the combination of risk assets and fixed income approximately 60- 40. And that trust experienced the same kind of downturn during the December quarter that the rest of the markets did. That's really the genesis of that $30 million.  If you look at kind of where we are right now, the trust I think has recovered nearly half of that so far this month just as the markets have recovered. And this is related to a new accounting pronouncement that we have to comply with, which previously those unrealized gains and losses ran through other comprehensive income, but now they actually have to run through the P&L and many companies are experiencing this. And so you're going to see more discussion around this and more transparency around it, which may be the point. But we'll be doing the same thing and we'll call that out specifically each quarter whether it's a gain or loss on those assets.
Jeff Zekauskas: Okay, great. Thank you so much. 
Kevin Willis: Sure. 
Operator: Thank you. Our next question comes from John Roberts with UBS. 
John Roberts: Thank you. Do you eventually merge the now smaller I&S segment into ASI? Or can you do swaps on BDO with INEOS so that the INS external sales and earnings go away at some point?
Kevin Willis: Yes, I think what we are looking at doing here is, of course, as we complete the sale of Composites and Marl, we're looking at the best way to not only manage the business, but also report the business to provide the insights and clarity that you're looking for. So I would say that we will blend it into our business and then we will share more about our business in total as we move forward.
William Wulfsohn: Yes, we're still in the analysis phase of how we're going to report going forward, but we're obviously pretty far down the path, we have got some time to think about this. And as I indicated in my comments, we should be prepared to make a decision on this and go public with that in not too distant future.
John Roberts: And then, I know you don't report regionally, but margins substantially higher now in the U.S. ASI business because of the self-manufactured BDO and lower in the international because of the purchased BDO. Or is the market -- is there pricing that you've assumed in your transfer pricing or whatever you've done in your restated results essentially approximate markets so there is no difference.
Kevin Willis: So from a BDO perspective, the captive part of our BDO production that we use as a raw material is all that manufacturing is done in Calvert City, Kentucky and Texas City, Texas. And those products which are primarily powders are then shipped around the world. So the margin profile is virtually the same everywhere. To your question at least as I heard it is the transfer pricing that we have of BDO as a material, what was that one of your questions as well?
John Roberts: Yes, is it close enough to market or is there large customer discount that's really big that you apply to your own internal use?
Kevin Willis: We transfer at cost.
John Roberts: At cost. Okay, thank you. 
Operator: Thank you. Our next question comes from John McNulty with BMO Capital Market. 
John McNulty: Yes, thanks for taking my question. With regard to the improved pricing practices that you were highlighting, I guess, how much of it would you say is tied to more appropriately pricing for value versus just passing through the raw material cost more effectively. And I guess the premise for the questions is can we continue to see pricing push higher if we see raw material start to level off or subside, how should we be thinking about that?
William Wulfsohn: Yes, so I would say that of course we recognized over the last year that we had a serious issue to contend with in terms of raw material inflation. But if you go back to our Investor Day materials, we actually identified the pricing and the value pricing, not only the skills, but the ability to differentiate -- leverage or differentiate and drive technology as a core component of ultimately improving the growth and margins of the business. So I would say that we look at it from a value standpoint and the value that we provide to our customers. And of course, it's -- our customers and we need to recognize when you're in an inflationary period, as we have last year. And that helps to if you will extend the urgency associated with that. But I would say that we continue with our focus on innovation, we continue with our value selling and negotiating practices, training. We have better account management tools, and we have changed sales incentive programs. So we're focused on continuing to drive and make sure we get the full value from the products that we're providing to the marketplace, and that's independent of the fact that we see some of our raw materials pricing getting softer.
Kevin Willis: Yes, we would expect to continue with pricing programs that we have. And it's really consistent with the mix shifts that we're driving in the business. Those mix shifts tend to be levered towards higher value products and price comes along with that.
John McNulty: Great, thanks very much for the color. 
Operator: Thank you. Our next question comes from Mike Harrison with Seaport Global Securities. 
Mike Harrison: Hi, good morning. 
William Wulfsohn: Good morning, Mike. 
Mike Harrison: Bill, I was wondering if you could walk through the trends that you're seeing in some of your key ASI market as we kind of walk through the October-November timeframe into December and January, particularly interested in the trends that you were seeing in personal care and in coatings over those four months.
William Wulfsohn: Right I think the trend that we saw was consistent with our end of quarter results, we didn’t see a big drop off we didn’t see a big pick up at the end of the quarter. I’d say that we saw fairly level demand relative to our ultimate results for the quarter.
Mike Harrison: All right. And then, was also wondering if you can give a little bit more detail on the gross margin performance in ASI, it was pretty decent even if the volume growth wasn’t great. And just wondering, if you can talk about the interplay among factors like mix, pricing versus raw materials and fixed cost absorption or asset utilization. How can we expect those pieces to trend in terms of the impact of gross margin through the rest of fiscal 2019?
Kevin Willis: Right. So we’ve discussed that even though sales were from a volume standpoint was relatively flat that we actually did see an improvement in volume and mix in the quarter, we saw pricing that was above raw material cost. We expect that that will expand as we go forward in the year. We did see a positive impact of absorption within our manufacturing facilities. That being said, we then saw a negative impact of fairly substantial one as it relates to FX. And so, when you put those altogether that’s the end GP that we had in the relative margins. It’s always great to say if there weren’t for FX I think you would have seen the GP really shine in terms of percent. But in the end it’s all about the numbers and we did drive GP gains both on the dollar and on a basis point basis even with that negative FX.
William Wulfsohn: And I think if you look at the various components there was no what I would call a real standout necessarily amongst them. It was -- each of those components contributed and that really helped to make for a pretty solid quarter.
Kevin Willis: Yes, so when we look forward and we think about our plans for the year we’ll see some of those in the different quarter being a little stronger or a little weaker, but essentially it’s those levers it’s those same levers and we’re working all of them to make them all positive this year. And that’s how we’ll drive the earnings growth that we were focused on that -- plus of course the SG&A cost reduction.
Mike Harrison: All right, thanks very much.
Operator: Thank you. Our next question comes from Rosemarie Morbelli with Gabelli Research. 
Rosemarie Morbelli: Good morning, everyone.
William Wulfsohn: Good morning, Rosemarie.
Rosemarie Morbelli: You mentioned that some of your industrial markets were soft and I was wondering if you could give us a little more details on that as well as the source or the location rather of the growth in coatings in Asia considering that China has slowed down?
Kevin Willis: Sure. So when you look at our business you can see in the performance specialty area that’s one where it’s a mix of industrial type applications and that was down relatively weak. We saw some good growth in construction and energy so that help to offset the fairly neutral performance that we saw in coatings, which we’ve referenced before. And when I was referring to the growth that we saw it was in the rest of Asia. Actually we did see China from a revenue standpoint get stronger year-over-year and that was driven primarily by substantial gains in Pharma and skin care, so we did see gains in China. We also saw revenue gains in the rest of Asia, which were particularly strong.
William Wulfsohn: And the way we think I mean rest of Asia is literally all of Asia except China. And so that’s a pretty big region, but it’s inclusive of India, Japan, etcetera, etcetera. And so we just saw really nice growth there frankly in most of the end markets that we sell into those in that region.
Rosemarie Morbelli: Okay, thank you. And then you are focusing on the high value products, could you talk about the percentage of the overall ASI that is high value and what are your targets? And then linked to that, if you could talk about what you changed in the sales incentive program?
William Wulfsohn: Sure. So just to answer your question, the great majority of what we sell within ASI we believe is very high value and differentiated materials. So I would start there now of course we're trying to expand that and make sure that we stay stronger and more relevant going forward from continued innovation. And so with that, we target 30% of our sales to come from new products and that with a higher margin profile than our average. We have a very active innovation pipeline, we have focused on moving more and more resources towards specific customer innovation activities. And just to put in perspective, we have what we call TSR which are service request and those are really reformulating products to work better in an application on a customer’s line. And we have over 1,800 of those that we've been working through our system. So that's a core part of what we’re doing. And it's a bit different than what we've done in the past, it's having a very nice impact. From a sales incentive standpoint, this is something that we put in last year. And basically what we said was that we would reward our sales team based upon their commercial contribution and that could come from driving incremental volume and the profitability related to it to improving mix and the profit profile that come from that, from pricing relative to raw material inflation. And then, also factoring in the benefits of incremental absorption that comes from delivering revenue over and above their plans or conversely if they're assured on their plan. And so, with that in mind, the sales team has the visibility to see the activities that they focus on directly impact their incentive compensation.
Rosemarie Morbelli: Thank you, very helpful. 
Operator: Thank you. [Operator Instructions] Our next question comes from Laurence Alexander with Jefferies. 
Dan Rizzo: Hi good morning, this is Dan Rizzo on for Laurence. With the change in sales incentives, has that increased or decreased sales force turnover over the past few months or past year?
William Wulfsohn: No, I don't think that has -- if anything I think from a sales team perspective, I think it's been a real positive in the respect that they have visibility and can control and see the impact of their work. And we're giving them tools to better understand that and also to sell the higher value materials through our innovation programs so far. So I've not noted any turnover if you will I shouldn’t say any, but trends in that I think we've had strengthened that area.
Kevin Willis: Yes, regarding the turnover in sales force has been pretty low. And one of the changes that we've made is to really make the sales incentive process much more individualized than it's been in the past, I mean there are still some team based incentives out there, because we have teams that service large customers. But if you look at the opportunity available to our sales force, we've actually give the sales force much more control all our their destiny in that regard, which frankly I think helps with the mix shifts that we've seen along with some of the tools that we've been able to provide them, where salesforce.com company as our many [ph]. And we've really improved the overall look and feel of our salesforce.com frontend. Like it is much easier for sales people to use and much faster for them to do their job. So I think spend more timing for our customers less time in putting stuff. And we've also changed our commercial organization and flatten it, so that there is clear line of sights to the particular markets and better market ownership. And I believe that the -- if you were to speak [ph] on the leadership that exists, is very strong in those markets and overall, in the commercial area. And that's helping to drive a more I'll say, a better winning attitude and it’s coming through in terms of our results and most particularly in pricing as we're referencing right now.
Dan Rizzo: Okay thank you. And then you mentioned that there is expansion of application for some of your Pharma products and there was kind of pent-up demand. I was wondering if additional capacity is going to be needed, maybe not this year, but in 2020 and 2021 to meet the expansion in capacity -- expansion in application?
Kevin Willis: Yes, I don’t think in the periods of 2020 or 2021 we’ll have those issues. We’ve really done a tremendous debottlenecking in some of our cellulosics areas that will really give us a lot of head space. In Klucel, we had a major addition to capacity and it takes a while to put new capacity in place. So as we think about our strategies going forward, we’ll keep an eye to that. And it may make sense for us to engage in some expansion activities, debottlenecking or fundamental expansions in Klucel that may be relevant for the window outside of what you’re referencing there. At the same time, we understand our commitment to deliver our cash flow. And to do that, we’ve targeted CapEx plus change in working capital to be at 6.5% of sales or less. So as I mentioned that we may do some things over time to further expand our Klucel capacity. That’s a longer term view and it wouldn’t change our fundamental outlook on spending and cash flow.
William Wulfsohn: Yes. And we manufacture Klucel in our Hopewell, Virginia facility. And in terms of the last expansion that we did that is at Hopewell. And to the extent we need to make further expansions there which we’ll obviously do proactively as needed, they would also be at Hopewell. So, really leveraging an existing facility and existing footprint. When you do that, which while it takes CapEx to expand obviously, it’s much more efficient than if you had to do a whole new footprint.
Dan Rizzo: Because you’re using the same facility, does that not -- make sure that you don’t need to expect that new capacity in, like if it’s just a brownfield expansion of an existing line then there’s not additional qualifications that are needed, correct?
William Wulfsohn: Well there are qualifications and we worked through a number of those last year on the new capacity. I think what Kevin is referencing is that we have the footprint and the ability to leverage a base infrastructure to add additional lines, dryers, components of manufacturing which would increase our output without having to build a brand new plant infrastructure which would clearly and obviously be much more expensive.
Dan Rizzo: All right. Thank you very much.
William Wulfsohn: Sure.
Operator: Thank you. Our next question comes from Mike Sison with KeyBanc.
Mike Sison: In terms of your outlook for 2Q, not a lot of companies, which is calendar first quarter seeing any growth. And looks I think you guys said you could see strong year-over-year EBITDA growth and positive organic growth. So, can you maybe flush out where and why you can see the growth as most are struggling a little bit here in the calendar first quarter?
William Wulfsohn: Yes. So move in those same markets. And what I would say is that there are areas where we see continued strength. We think that the Pharma business will be a continued driver of growth. We think Pharmachem will be a continued driver of growth. And Energy can be -- we’ve had good growth in hair care that we think could help us as we move forward. So there are number of markets that can help to offset some of the weakness that you might see in some of the markets that you’re referencing. And so, that’s why we’re commenting and projecting that revenue growth I don’t think will be the big driver of earnings growth for us in Q2. It will be back to price mix, cost within running our plants, SG&A reduction. And to the extent that the markets show a more favorable demand dynamic that would be great. But we’re not counting on the markets to have some substantive change, positive change to meet the targets that we’re setting for ourselves in the quarter.
Kevin Willis: And Mike, we just -- we see a lot of resilience in the business due to the things that we can control, the things that we can drive. And the only thing I would add to Bill’s commentary other than that is we would also expect the Adhesives business to be a nice contributor in Q2. That’s a business that has grown consistently over the years kind of mid-single digit. And we would expect certainly on a full year basis for that to continue to be the case this year. But on an overall basis, we're trying to drive the things that we can control and part of that is to continue to have mix shift and areas of the globe where there are opportunities, we're going to capitalize on those. We're going to take advantage of those opportunities and grow where there is growth.
Mike Sison: Great. And then now you tended to give us sort of view by market and I was wondering if you think about 2019 by product cellulosics, adhesives, PVP, Pharmachem what your outlook looks like? And is that -- and when you think about giving us more data, as you noted, as the year unfolds is that an area where could be more helpful for us to think about the growth by product?
William Wulfsohn: So it’s a great question and it's an important element of how we look at the business because we focus our solutions to be relevant within specific end markets and we talk a lot about those. At the same time, as we've discussed, we do have several of these major product platforms. And so as a company, we do drive across both of those dimensions. And we have asset optimization programs. So we look at the relative profitability and the things that we can do to enhance the profitability, shifting the mix, adding capacity where we need to managing inventory in other areas. We do that as part of our executive leadership team we review that monthly. And I do think that as we talk about the business going forward, I think, we will share more of that with you. I don't think that that would drive how we would report our results in the aggregate, because we tend to focus more by markets and the kind of value proposition that we have. We are planning for growth in cellulosics this year, we're planning on growth in Pharmachem and really across all of the platforms that you referenced there. And to do so, we're going to have to innovate, we're going to have to drive growth in markets, which are a little stronger to offset those, which are a little softer.
Mike Sison: Great, thank you.
Operator: Thank you. And our final question comes from Dmitry Silversteyn with Buckingham Research.
William Wulfsohn: Hi, Dmitry. Good morning. Are you still on mute Dmitry. Sorry, Dmitry, we can't hear you.
Dmitry Silversteyn: Now?
William Wulfsohn: Yes, we can. Now we can. Good morning. You're taking that mute thing really seriously. Now we can't hear you still. Operator, can we connect with Dmitry or not?
Operator: Unless he unmutes his line. His line is open on our end.
William Wulfsohn: Okay. Why we go ahead and wrap up the call operator.
Kevin Willis: Yes. He may just have a bad connection.
Operator: Okay. Speakers, I'll turn the call back over to you for any closing remarks.
William Wulfsohn: Thank you very much. Thank you all for your time this morning and for your interest in Ashland. Hope everyone has a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect and have a wonderful day.